Operator: Good day ladies and gentlemen and welcome to the Wintrust Financial Corporation's first quarter 2010 results conference call. (Operator Instructions) I would now like to introduce your host for today’s conference, Edward Wehmer, President and CEO.
Edward Wehmer: Good afternoon, welcome to our first quarter conference call. David Dykstra is with me as well as Dave Stoehr, our Chief Financial Officer. I will be going over some highlights of the quarter, David will take you through the income statement in detail and then I will come back with some talks about strategy and summarize. First quarter and really part of this year has been a very active and productive one for Wintrust. We’re happy to discuss these highlights with you. Earnings for the quarter were $16 million or $0.41 per share driven my margin improvement. Our margin went 3.38%, from 3.1% in December. Our cost of funds went from 1.98% December, down to 1.82% as we continue to reprice our legacy portfolio. The chart on page 15 if the press release also shows the potential for additional improvement in the legacy CD portfolio for it to stay constant. Over the next 12 months we have a little over $3.3 billion in CD’s coming due, where 25 to 35 basis points is probably the right number to use there, again if rates stay constant. So again, there is earnings potential core earnings that will come from that repricing. Asset yields went from 4.87 up to a little over 5%, 5.01%, loan repricing and new business is helped to do that as well as accretion and pay offs on the life insurance portfolio we bought. On that accretion issue just one thing, we’ve heard from a number of analysts about how this accretion is coming in. One thing we want to point out is we do take a lump accretion if the loan does pay off but for the most part we wrote that portfolio to market and as those loans come due and reprice as they come up for repricing, we do write those at market. So people who consider that sort of a one-time sort of issue, it really isn’t. We are repricing those loans as they come due to the market and then actually experiencing those rates going forward. On the liquidity side the end of the quarter we sat on $.2 billion of overnight money, where we’re earning about 25 basis points. Again, an opportunity to increase core earnings there if we were to put $500 million to work with this at a four point spread, that’s another $20 million. So between the two, and I only bring this up because we have shown you these charts in the past, there’s $30 to $35 million of additional earnings as we deploy that liquidity and reprice our portfolio, notwithstanding growth which I will talk about a little bit later. Credit costs, a little higher than we would like but they still, it appears that the costs are abating a bit, provision of $29 million versus $38 million in December, charge-offs at $27 versus $35 million. Nonperforming loans went up approximately $9 million from $132 million to $141 million. All of that is premium finance loans, so the securitization came back on the book and really $8 million of the $9 million increase relates to premium finance loan increase and then there’s one life insurance loan that’s out there that still is accruing that its just and administrative past due and that the borrower has indicated it wants to pay that loan off and is paying the interest but needed some things to occur before that happened. So really if you look at it, nonperforming loans were basically flat quarter over quarter. OREO was up $10 million but that’s kind of a good thing as we move that into a sale position to push that out. The first quarter was a little slower than I would have liked on the clearing but I think a lot of that has to do with the fourth quarter, we made a real rush in the fourth quarter, our guys did a wonderful job in pushing nonperforming’s and in doing so they got kind of pushed all the stuff out and had a restart on a couple of issues, so it is a little bit slow but we are still committed to pushing these things off the balance sheet and we expect to be able to show improvement or steadiness for the improvement going forward. Again we’re still committed to moving that out. Again, on the nonperforming side, no one has yet even, I always say this but regulators, accountants and the like, they still haven’t identifying anything that we hadn’t already identified and we’re working on. So we think we’ve got our arms around the issues, we’re working them very hard and we continue to make good progress there. Our overall numbers at 1.55% down from 1.57%, we’re operating at a fraction of our peer group and our local peer group and we think we have our credit pretty much under control. However the cycle isn’t over yet and it could be a little lumpy going forward but we have our arms around it and we are pushing these things out and working these as well as we can. I wanted to put a word in on TDR’s, they seem to be a buzz word this day. There seems to be, this is again if any of you have been around a long time and you look back at when we first entered this cycle and how things had to be marked down and we took a very conservative approach on the market side of things and the accountants were telling us that was the way to do it and TDR’s I think are somewhat of a misnomer and I think again this thing, this accounting principal is not being consistently applied throughout the banking system. We have $69.4 million worth of TDR’s that were $65 million of which are current. The other $4.4 million is included in our nonperforming numbers. We in consultation with our accountants and also we went through our normal three year cycle review with the SEC prior to our capital offering and they confirmed with us that our approach to how you do TDR’s is appropriate and I just don’t see it as applied. Let me tell you how we do it. If you have a construction loan or a land loan or any loan, that loan comes up for renewal and you offer that customer if he stays at 5% or 6%, the project is working, but if that low borrower had come in today with that particular project, would you have offered him 5% or 6%. The answer to that is probably no given the real estate market right now, probably be in the 7.5% or 8% range. Our understanding confirmed by the SEC and it was a real [button] with these guys and the accountant says that is a TDR. So to count those as a nonperforming loan makes absolutely no sense to me but we do disclose them and we believe we’re doing properly, its been confirmed we’re doing it properly but I think you can understand how that, these loans are not problem loans. If we have a problem loan, they show up in our problem loans. As I said, $65 million of that are current and operating as planned but we’ve taken this conservative approach, we understand it’s the appropriate approach, the right approach. We don’t believe that is being consistently applied but again we hope this clears up any issues as to what a TDR actually is and what these TDR’s on our books really are, again $65 million are current, they’re moving forward and we will continue to account for them this way until somebody tells us differently. David will comment on the rest of the income and expense ratios a little bit later, but I’m first going to take you through the balance sheet. On the deposit side in all categories of deposits were up for us except for our wealth management deposits. As previously mentioned to you we did let $225 million of what we called aggregator CDs or aggregator of deposits that we took from Scott Trade and Deutsche Bank and some other sources, we took those on at the beginning of the crisis. We had the capital cover and as we took them on as liquidity insurance. We felt that more liquidity would be better coming through this cycle and we had the capital support so we put them on the books. We let those run off, we actually didn’t need them, sitting on $1.2 billion of overnight money, I think you could understand that. And also the wealth management deposits went down because people are putting more money back to work in the stock market. Its coming out, their liquidity is being put to work and I think you can evidence that by looking at the fees on our wealth management operation were up nicely during the quarter, again as people go back. But other than that deposit growth was increased on every other category across the board. On the loan side all categories of loans other than maybe indirect auto which we’re running off and have been for a period of time, were up. Loans were up predominantly the big increase was due to bringing the securitized numbers back on the books of the organization. I will point out the pipelines are extremely strong and we have a number of initiatives going on on the lending side. I’m going to talk about this later when I kind of take you through our strategy for going forward. On the capital front ratios were obviously bolstered by a very successful offering which we completed during the quarter. TCE is up about 6.3% and risk based is over 15%. We discussed during the offering and many of you thereafter we did that deal to kind of a flexible capital sort of approach. We knew that there would be opportunities for transactions and growth, FDIC or otherwise going forward. We felt that the money would, that capital would be good to support those. It was good insurance against a W in this recovery. We felt that that was a nice insurance to have if in fact we needed it. And again the final [inaudible] for the repayment of TARP with when that happens. A word on that TARP repayment, we’ll do that when its shareholder friendly. We have every intention of paying it off as soon as possible. The trust market is opening up right now, trust preferred is opening up. We do have capacity in that market. We feel that the capital raise plus that notwithstanding other events that may occur going forward we should be, we want to be able to retire that TARP money, but it’s a very volatile and interesting opportunistic time right now in terms of growth opportunities so we really want to hedge our bet and that’s what we did with that capital offering. I’m going to turn it over to David now to take you through a review of the financials and then he’ll give it back to me to talk a little about strategy and the FDIC deals that we completed last week. 
David Dykstra : Thanks Edward, Edward talked on the margin and the provision, I’ll talk about the other non interest income and other non interest expense categories that had any significant changes. One item to note on the margin though is we did bring $600 million of funding on the books and the related assets from the securitization and that contributed six basis points to the margin this quarter and that’s one component that we highlighted and I just thought I would bring it out before I dig into the other areas. On the wealth management revenue it increased to $8.7 million in the first quarter of 2010, that’s up from $8 million in the prior quarter, the fourth quarter of 2009 and up from $5.9 million in the first quarter of 2009. The increase on a year over year basis equates to $2.7 million and in percentage terms it equates to 46%. Obviously improvements in the equity markets have helped the fee based business and as Edward mentioned we’re seeing customers get back into the market and so the brokerage revenue that we get has increased also. On the mortgage banking side our mortgage banking revenue totaled $9.7 million in the first quarter of 2010. That’s down from approximately $16 million in both the fourth quarter of 2009 and the first quarter of 2009. On page 19 of our news release we’ve provided a new table that outlines the components of the mortgage banking revenue as well as the volume of loans originated and sold and the amount and value of our mortgage loans that we service. The main reason for the decline in revenue was due to the decline in the level of mortgage loans originated and sold during the quarter. Refinancing volumes spiked in 2009 as the mortgage rates fell to very low levels and that volume has moderated as that initial push of refinancing have concluded and the rates have risen slightly. Mortgage [inaudible] was also negatively impacted by indemnification claims from investor push backs primarily for loans made in the 2006 and 2007 timeframe and those were vintages of loans that were not making any more but the investors have been fairly aggressive in trying to push some of the claims back for indemnification reasons and we had a total charge in the quarter of $3.5 million in the first quarter compared to $1.7 million in the fourth quarter of last year and $802,000 in the first quarter of the prior year. Again that information is all detailed on page 19 of our news release. Gains on the sale of commercial premium financed receivables were eliminated in the first quarter and this was the result of the new accounting requirements beginning on January 1 that now require loans sold and transferred into the securitization facility to be accounted for on the balance sheet as secured borrowings rather than a sale. Accordingly in the loans and the borrowings of approximately $600 million are in the securitization facility are now resident on our balance sheet and no further gains are really anticipated for the rest of the year. The gain on the bargain purchase, the company recorded all the remaining bargain purchase gain related to the 2009 purchase of the portfolio of the life insurance premium financed receivables and we did that in the remainder in the first quarter. The amount of that gain in the first quarter was $10.9 million. As we previously disclosed the recognition of that bargain purchase gain was deferred until, a portion of the bargain purchase gain was deferred until a portion of those loans that were in escrow received consent whereby we had control of the collateral and it was in our name. Those consents were received and the escrow account was terminated during the first quarter, all the remaining funds in the escrow were released to the sellers and to us and the gain was fully recognized so going forward we’ll have no more bargain purchase gains related to the life insurance premium finance portfolio purchase. Trading income in the quarter totaled $6 million. That compares to $4.4 million in the prior quarter and $8.7 million in the first quarter of 2009. As we’ve mentioned before these trading gains primarily relate to increases in the market value of certain collateralized mortgage obligations held in the trading account. The company purchased these securities at a significant discount in the first quarter of 2009 and these securities have increased in value since their purchase due to market spreads tightening, increased mortgage prepayment rates and lower than projected default rates. So that number is subject to fluctuate but we continue to see higher than normal prepayment rates in the market and the default rates less, so that investment has been good for us and we still like the investment. Salaries and employee benefits expense is turning to non interest expense category, totaled $49.1 million in the first quarter. That was up $1.1 million from the fourth quarter of 2009. The increase in the quarter is primarily related to annual base salary increases that were effective in the first quarter. An increase of about $1.7 million over the fourth quarter due to seasonal payroll tax expense and the addition of some additional commercial lending stats. Those increases were offset by the lower level of mortgage banking commissions as a result of the lower loan volumes that I previously discussed. Moving on down to the OREO section, we had OREO expenses declining $1.3 million in the first quarter. That compared to $5.3 million in the fourth quarter of 2009 and $2.4 million in the first quarter of 2009. As you know these expenses can vary based upon changes in the market value of the property that we hold in OREO and the carrying cost of holding such properties. The lower level of charges in the first quarter of 2010 was the result of less negative valuation adjustments and offset by higher carrying costs for those properties. The only other category that fluctuated of any significance was really our other miscellaneous expense category, and that declined to $11.1 million in the first quarter from $13.0 million in the prior quarter and was up from $8.8 million in the first quarter of 2009. The amounts in this category are generally fluctuating to the variable costs associated with collecting our problem loans and the growth on the company’s balance sheet in general. So that covers the highlights for the categories that had any significant changes in non interest income and non interest expense and I’ll turn it back over to Edward.
Edward Wehmer : Thanks David, I want to spend a little bit of time on some strategy history and where our strategy is right now and where we anticipate it to be going forward. When we started this thing from 1991 to 2006 we really had an asset driven growth model. What I say that what I mean is we always had more assets than we needed on the lending side and that allowed us to move into the market areas and to gain number one or number two market share in the towns we went into both in terms of household penetration and in terms of total deposits. So we always could do that and have planned and profitable growth and as a result for that period of time we were throwing up 20% to 25% growth rates in all of our vital statistics and things were good. In 2006 as you all know we went into our stall, our [rope a dope] strategy in anticipation of this credit cycle being upon us. We did that, we got a slow growth, and hunkered down in our foxhole to ride it out. In the fourth quarter of 2008 when things were kind of at their worst, when we said its time to come out because and to start growing and building again because that’s the point in time where the market is in disarray and you can pick up market share and what we intended to do was come out when our competitors and when the market was disrupted and that allowed us to grow and to retain profitable growth again. We focused on dislocated assets, dislocated people, clearing our balance sheet of problem assets and restoring core earnings and that’s exactly what we did. With the dislocated assets we expected gains on these and we’ve been able to achieve those gains, with the [AIT] portfolio, the CDOs and other portfolios that are currently discounted by many in the investing community as one-timers, the whole concept was is to take advantage of those things in order to cover the cost of, the higher credit cost that obviously accompany a credit cycle. And it actually has worked very well for us to date. We have been profitable through every one of the periods that I’ve raised, that I’ve talked about here. Going forward right now though we believe that the cycle isn’t over, there’s still a lot of opportunities for on the dislocated people side and the dislocated asset side, maybe not as big as what we did before maybe not as profitable but there still are opportunities out there. But we’re trying now focusing on the dislocated [inaudible] getting back to that growth oriented asset driven model that was so successful for us going forward. We believe that we have our arms around our credit issues and we’re working hard to clear them. We don’t have an exorbitant amount of them and they’re well under control because we’ve marked them right and we’re going to be pushing them through. But with an eye in the rearview mirror we are commencing getting back into our growth oriented mode. Remember there were a couple of mantras that we had during that period and that was we’ll open up a new bank every two years, each bank that we had would open a branch every two years and we would be very optimistic on acquisitions of not just banks but asset platforms, asset generation platforms and in the wealth management areas. And that’s what we intend to do going forward. While we’re going to continue to focus on building those core earnings as I discussed in the first part of transaction bringing our cost of funds down and getting the asset prices a race on assets up and deploying a portion of that liquidity that was sitting, all that liquidity we’re sitting on right now. But a whole part of this is again to be asset driven. Bank loan demand right now is pretty good, our pipelines are very are pretty strong. We’re evaluating a number of niche opportunities that have been presented to us and we wouldn’t be surprised to see us move forward on those, again we like to keep one third of our portfolio from the niche businesses, two thirds from our general banking business and we’re valuating a couple of those niche opportunities right now. We have opened our Chicago loan production office. It is up and running and off to a very good start. In the first quarter we have 12 lenders in that office right now and we also moved our asset based group of five people down to that office, consolidating our commercial C&I type lending in one area. Again it will be distributed out to the banks also but this is an area of expertise, we’re brought in some very strong people from the outside. To date, in just the first quarter they have $45 million that they’ve proved booked. There’s another $45 million that’s committed and should fund within the next 60 days. Their pipeline is north of $200 million, they brought in $25 million Wayne Hummer accounts and that’s just in the core earned, that’s the tip of the iceberg. Again all these are commercially these are self generated commercial relationships that we are bringing in. So add to the diversification of the balance sheet in an area where we probably weren’t as strong as we could be, they’ve already brought in over $1 million of DDA and those accounts need to fill out over time but we believe that this is a very strong asset generation opportunity for us and we’re very excited about what’s going on in the city and what it does for our franchise in total. The FDIC deals that we announced and did last week fit very nicely into that strategy. We bought two banks, one in Naperville, Illinois and one on the north side of the city of Chicago, two areas that we are not in at this point in time. We were dealing with these as we would any other acquisition that we have done in the past. We expect to once we integrate these and get them on our systems and like, we expect to grow these entities very nicely. Those of you that have been around a long remember that we do the transaction we’ve done to date we very quickly double, triple, quadruple them in size. We want to go in and really dominate that market on the retail side of things. And this will allow us to do that. It helps us also from a cost of funds standpoint because to support the asset growth that we believe is coming forward if in the old days we were always opening new banks and we could count on them to bring in additional deposits, but if we didn’t do these acquisitions to jump start our growth again the marginal cost to do money would be higher because we’d have to cannibalize an existing bank the existing portfolio of a bank pay higher rates, those rates would go over to you marginal cost, the money would be very high. In these instances we can bring these deposits in a relatively low cost build the franchise value organization and jump start our asset driven growth machine that was so profitable for us in our first 15 years of our life. The economics of the deals, they’re accretive out of the box, as you would expect. We are not talking about as you know with 141 and the like its very hard to we’ve got to run all the numbers and do all the work before we can talk about bargain purchase gains and all those types of things so we’re not going to disclose anything in that regard other than the fact that we have one but the deals should be accretive right out of the box and we’re very excited to bring in two organizations into areas that we’re not in. They bring good community bank cultures with them that’s something we can capitalize on going forward. So in summary I’ll tell you we’ve come through this cycle I think very well. We executed our plans that we adopted in 2006. We took advantage of dislocations we covered our costs and we remained profitable throughout this very, very trying time. We’re one of the few I think in the market who can actually say that. Our nonperforming assets are under control and they’re a fraction of what the market is what our peer group is and we’re excited about getting back to what we do best which is growing an organization building an organization profitably for our shareholders. So with that, I’ll turn it over for questions. 
Operator: (Operator Instructions) Your first question comes from the line of Jon Arfstrom - RBC Capital Markets
Jon Arfstrom - RBC Capital Markets: The comment you made on the margin about how the securitization helped the margin by six basis points, is that a permanent change and is there anything else unusual in the margin or is this something you would say is a new run rate.
David Dykstra : I don’t think there’s anything real unusual other than that and as you know that’s a term securitization facility that’s revolving so we’ll continue to keep the $600 million of debt out there until 2012 when it matures and we’ll have to look at whether we renew it at the time or not and we’ll keep feeding the assets in there. So there should be roughly $600 million of debt and related assets on the balance sheet for the rest of this year, all of 2011 and into 2012 which would not have been there under the old accounting rules that we had up until January 1 of this year. So we noted in the press release that impact was about $6.6 million and we’ve added into the margin table and the income statement lines that show the cost and the interest expense associated with those borrowings so you can do the math then. But nothing else that’s unusual as Edward said some people talk about this accretion on the on the life insurance portfolio as saying oh my gosh what happens when that goes away but that was really just a purchase accounting adjustment that you would have in any acquisition, a mark them to market and so as that accretion is running down we’re replacing it with new loans at market rates and as long as you stay in the business and you replace those assets that shouldn’t be someone shouldn’t look at that as a hole that’s going to be dug. We do have a little over $1 million from pay offs that went in there but that probably will continue for some time as loans do prepay during the course of the year. 
Jon Arfstrom - RBC Capital Markets: That was my next question, I’m glad you brought that up of the life insurance premium finance loan that has maybe repaid or you’ve rewritten how much of it have you captured, so I guess the point is call it the 8 or 9 or $10 million that rolled in this quarter on the margin from that accretion how much of those loans that rolled off do you think you’ve recaptured and been able to replace. 
David Dykstra : Our balance actually if you look at it we were at I think at the end of each quarter we’re growing that balance sheet we’re growing that loan category. At the end of December we were a little under $1.2 billion $1.97 billion and at the end of March we were $1.233 billion so we grew that portfolio despite pay downs. And we show the accretion on page 20 of the press release but as we continue to grow that portfolio we’re bringing those assets on at market rates and the assets that are rolling off are really rolling off at market rates because we’re doing the accretion on them. So the only odd thing on the accretion would be if you look in our earnings release on page 20 there’s $1.4 million of accretion that was recognized due to the prepayments. We’ll continue to have prepayments for some time to come so I think that’s normal for some period of time but the rest of that accretion really was just a purchase accounting adjustment to bring it up to market value because the portfolio we bought was of much lower yielding portfolio than what market rates were at the time. 
Jon Arfstrom - RBC Capital Markets: And then I was going back in some old notes from several years ago that I had written on your company and I know the old model used to be $40 to $50 million per bank per year in new growth and when you look at some of the historical growth numbers you were 6, 7, $800 million a year in loan growth and I’m just wondering if you feel like your market is healthy enough to get back to that level if not how long does it take to get back to that level of growth because my sense is that you’re letting the reins a little bit looser on your subsidiary banks, is that a good way to look at it. 
Edward Wehmer : Yes I think it’s a good way to look at it but you have to remember it took a long time to stop a 100 car freight train its going to take a little while to start up a 100 car freight train and to start scouting out new locations and to get back into that growth mode and that’s why I think I used the term on these two FDIC deals as kind of a jump start for us that we can use that while we’re getting the train started in our other market areas we can use these two organizations to jump start that growth and build those franchises like we have every other acquisition that we’ve ever made. So yes its going to take a little bit of time but these transactions and maybe who knows what happens down the road, some other we are looking at other deals. We look at whatever comes along and if its strategic and its accretive and something we think we can build and grow on and it’s a real franchise we’ll go after it. In the meantime we there are a lot of other opportunities out there as they related to unassisted deals to date a lot of those are really not attractive to us yet because the jury is still out on the marks on their portfolio and what you’d actually be getting but those will start popping up too as this cycle completes its run and we’d be very interested in playing in that arena also. So again its going to be its going to take a little while to get back on that branch every other year for the banks but in the meantime we believe that the opportunistic acquisitions will probably be a little more frequent and that will be the jump start. 
Jon Arfstrom - RBC Capital Markets: What’s possible from your downtown office because it seems like you had some pretty good momentum there and what’s possible maybe over the next 12 months and what’s the name on it is the other question I had. 
Edward Wehmer : Ed’s bank and trust, no we don’t do that, its Wintrust Commercial Banking and the possibilities, we’ve hired some very very good people and people with long roots in Chicago very strong people. We think that we’re playing in an arena that we played in before but never had the muscle to really pull it off. People looked at our community banks and said you can’t be good C&I lenders and we were to a lot extent but we weren’t viewed that way. Now we’re going to be viewed that way and we are viewed that way. We can handle the sophisticated transactions required in middle market lending. A lot of people were trying to play in that game but in some respects there’s still some disruption in the market that is opening some opportunities for us to take advantage of there and we intend to do that. So what we intend to do is plan profitable growth, we’re not growing for growth sake. These are good long-term profitable relationships for us, we’re not going to try to outstrip ourselves and grow way too fast but I believe that that downtown office can may be a real factor, I’m not going to give you any numbers but you can kind of tell just by how they started and what’s in the pipeline that you’re talking about significant balances. 
Operator: Your next question comes from the line of Dennis Klaeser - Raymond James
Edward Wehmer : Dennis is saw you on video today, you were being interviewed I saw you, you’re a movie star.
Dennis Klaeser - Raymond James: Well not quite, thanks for noticing. Late last year in your investor presentation you had a chart that showed the growth of your pre-tax pre-credit earnings, and then within that chart you had some guidance that you would expect the annualized rate of that number to get up to $225 million or more, how soon do you think you can get up to that quarterly earnings run rate. 
Edward Wehmer : The pre-tax pre-provision pre-everything, we’re operating at about 185. 190 right now. In the liquidity redeployment and the deposits there’s $30 to $35 million there that take you to 120 and then the growth so we’re looking at that for this year. We think that the growth should be pretty good and we should be able to deploy that liquidity should be able to get our cost of funds down. We should be able to take advantage of the growth opportunities in the market so that’s, we’re shooting for that for this year. 
Dennis Klaeser - Raymond James: You gave a little bit more disclosure in terms of the break down at some of your commercial real estate credits in particular that broad category of land and development and I noted that roughly I think its 3% of the loans are in the land category and about a percent and a half are in the residential development category and I know that’s not a huge part of your portfolio but that’s where a fair amount of risk is. Could you talk a bit about the characteristics of that part of the portfolio the geographic location of those credits, the average loan size and what’s sort of the typical loan to current appraised value with those types of credits. 
Edward Wehmer : That’s a tough question to answer on a conference call in terms of breaking down breaking those numbers down I think that there’s most of them are in our target market area I can tell you that. We do give a break down, down below of where our business is. But I’d have a hard time breaking that down for you right now on a conference call I apologize but we can gather some data and maybe try to present it better next time around but I think some of its legacy stuff, older stuff, some of it is new stuff that’s coming on the books, rebound real estate right now its not so bad to be lending in the real estate side to people who are buying stuff at 50, 60% of replacement cost or market value and you lend them 50% on that. So its obviously some new some old. We pulled back in 2006 and didn’t do a lot of this stuff. When we did it we did it very conservatively. So I’d have to dig in pretty deep to figure out individual by individual because there’s just, I can’t answer the question right now. 
David Dykstra : The only thing I’d add is I think we’ve said this before sometimes you have multiple notes to people and we track these things by loan by loan and note by note and so how do you group and the like but generally we’re not some banks in town here have gone out and done 40, 50, 60, $70 million types of deals and clearly we have the capacity to do that but generally that’s not what we’ve done. We generally don’t like to do any loan over $20 million, we don’t have that many that approach that during this cycle. So most of them are $10 million and below and a lot of them are 2, 3, $4 million loans. So to come up with an average size and the like and we could probably work on that sort of by relationship but for a future earnings call. We certainly have all the data its just how you categorize it and summarize it but they’re not big chunks. There just not huge pieces, its very manageable, its spread out around the Chicago metropolitan area generally and southern Wisconsin we’re in with town bank but we’re not doing a lot of that stuff around the country like some other people have done. This is in our backyard, we understand the properties, we understand the market values and they’re bite size chunks. 
Dennis Klaeser - Raymond James: You commented on the OREO and you’re disposition slowed down a bit here in the first quarter what’s the pipeline look like with the OREO properties, how quickly you think you can run down those balances. 
Edward Wehmer : Well as quickly as we possibly can. I think that what we had $10 million run off in the first quarter, I would like to see those numbers up higher obviously and there are a lot of things in the works to make sure that that happens. But we need to continually push the flow of assets through this process and get them out the door. We have not changed our approach to say we’re going to sit on them for three years or four years and wait for the market to turn around. We still are actively looking at liquidating the stuff and moving it through the system. So we would expect to see over the course of the year a lot of them out of here by the end of the year and probably ratably over the course. Other stuff has got to move through and go in there and kind of flow through but I would hope that the majority of what you see right now would be out of here by the end of the year. 
Operator: Your next question comes from the line of Emlen Harmon – Bank of America 
Emlen Harmon – Bank of America : Just a couple of questions on the deals, I know you are still working through the financials but do you have maybe just a sense of what the impact of the two deals are going to be on your capital ratios and then I was also just hoping you could provide a little color around the customer base you acquired there in terms of both the loans and deposits. 
David Dykstra : Obviously the Lincoln Park one was less than $200 million and a substantial portion of that is covered under the [inaudible] where the risk base capital is going to be 20% and if you look at that deal its really not going to eat up much capital at all and Wheatland its in the $3 to $400 million range. We’ll see where the final balance sheet comes out. But again as the majority of that is the loss share covered a little over $300 million of that so 20% risk weighted again it’s a small charge and as Edward said we’re not really talking about the bargain purchase gain because you really have to work through those numbers and pin it down and we just don’t want to put the number out there until we finish the final final valuations. We certainly have an idea so that will provide some of the capital against us. So when you net it all down there’s not that significant of a charge there on capital. 
Edward Wehmer : Its basically capital neutral at the end of the day, its really going to materially move your numbers one way or another. 
David Dykstra : As far as the market goes, Edward talked Lincoln Park was on the north side of Chicago actually right across the street from where Edward and I used to work. We understand that market very well. It was an SNL so its got a fair amount of residential real estate and then what got a bank like in trouble is the real estate development. So we have guys that understand that market very well. The customer base is fairly loyal. The cost of funds is fairly low and we think its an area that we can really grow off of.
Edward Wehmer : Its an old mutual, so they never really grew or took advantage of the market that they were in. They grew a little bit and they just were kind of happy where they were. This is a very fertile market for, the city of Chicago has a number of neighborhoods, 44, 45, 50 neighborhoods. This is really in the middle of kind of the north side neighborhoods and something that we can build and expand off of and we know how to bank those markets. We’ve had a plan since 2006 as to how we were going to move into the city and we believe that we can handle this like we have other transactions and really move into these different neighborhoods in Chicago and build a very very strong base. The Lincoln Park probably had on the right hand side of the balance sheet was extremely solid franchise, good loyal customers, exactly what you would like. And we will build off of that and I think we will do very very well there. The Wheatland Bank, Naperville is probably what is it the second biggest city or third biggest city in Illinois. Its long and narrow so it’s a hard city to kind of bank appropriately. As I think its nine central business districts. We are in the far south end of Naperville, franchise not as good as the Lincoln Park franchise in terms of the right hand side of the balance sheet but its an entry for us into that market and we intend to branch out and really over the next couple of years to really to branch out north and to service every one of those markets those central business districts and markets that are there. So the Lincoln business, to summarize the Lincoln Park franchise strong very buildable. The Wheatland one will take a little bit more work, but it’s a much bigger town that we have to deal with. 
David Dykstra : We’ve always wanted to get into Naperville, it was a fairly expensive market to get into but as Edward said as you move north once you get to the north end of the Naperville then you hit the southern part of our Wheaton banks territory, the Wheaton Bank is our subsidiary that bought that so it will fill in nicely. Naperville is a great community lots of growth potential and its really that one’s really more for the growth potential and the entry point into Naperville then as much as the existing franchise. That’s a huge market you can grow much bigger than what it is right now. 
Emlen Harmon – Bank of America : One follow-up I didn’t notice it in the press release but just what were the NPA inflow trends for the quarter.
David Dykstra : We didn’t disclose that we’ll have to do that going forward because I guess that’s a question that comes up quite a bit. Obviously the percentage went down the NPAs on the commercial stayed relatively flat but some of that you can tell what went into OREO and what got charged off and without giving a direct number directionality wise the offset to that is going to be the inflows. We’ll add a table next time that details it out. 
Operator: Your next question comes from the line of Stephen Guyan – Stifel Nicolaus 
Stephen Guyan – Stifel Nicolaus : Maybe a question you mentioned loan growth opportunities in C&I in niche markets are there opportunities in commercial real estate or are you stepping back in some of the commercial real estate loan categories or is there really, really loan specific. 
Edward Wehmer : It is really loan specific, its obviously not like it was a couple of years ago but with rebound real estate market as we call it is still there. There are people that there’s a lot of money going in to buy some of this distressed stuff that’s coming out. If a buyer can get a property at 60% of replacement cost and you can lend them 50% of that and he’s a strong liquid borrower, we’re doing that all day long. So there is a good opportunity in the rebound real estate area that we are playing in. There’s opportunities in believe it or not you guys will all die at this, but in our market areas home construction not track sort of things, but individuals buying houses and building. There’s no place else to get that right now and good customers are building houses and we’re doing that too. We’re obviously its mostly rebound real estate and customer oriented stuff but the valuations right now in the advanced rates that we’re applying to it plus the rates you can get on it when you do it we’re still in that ball game. 
Stephen Guyan – Stifel Nicolaus : The mortgage banking the loss indemnification do you feel you’re ahead of this or is it just too granular or maybe too many variables in the loan documentation to estimate future exposure. 
Edward Wehmer : What we understand happened is that a lot of the big guys including Freddie and Fannie hired consultants to come in and pour through their portfolios looking for this that dits and dots and real issues too. And they’ve come and they’ve tried to back off the truck and we didn’t play a lot in that game back in those vintage years but there’s been a flurry of activity where the put back has kind of picked up and I would expect them to fall off relatively soon. We think we’re ahead of it in terms of how we provision for it but I think its going to be a phenomenon to a lot of the stuff that comes in really has no merit. Some stuff has merit. We’ll stand by our word, but some of the stuff has absolutely no merit and we’re not going to be chumps on this thing. So we’re ahead of the game, we think it will play out over the next quarter or two and then there really won’t be anything to go back and moan about. None of the put backs that we’ve had to date have come from vintages outside of that. And nor would we expect them to. Its really coming from the old hay day if you will. 
Stephen Guyan – Stifel Nicolaus : And just an accounting question, how will the equity appreciation instrument provided the FDIC be treated if its paid, is it a non interest expense. 
Edward Wehmer : Its contingent purchase price, I think it will be netted against the overall settlement and the calculation of goodwill or negative goodwill. 
Operator: Your next question comes from the line of Mac Hodgson - Suntrust Robinson Humphrey
Mac Hodgson - Suntrust Robinson Humphrey: On the pipeline you said the pipeline was very strong, just trying to get more color on, is that predominantly loans that your new hires are bringing over from their old shops, most competitors have taken the Chicago market, seem to indicate the demand is still really weak, so I’m just trying to get more color on if there’s organic opportunities out there that they’re missing and you are going after or if its just market share shift. 
Edward Wehmer : Market share shift, some organic opportunities but mostly market share shift. I think that’s a fair way to assess it. 
Mac Hodgson - Suntrust Robinson Humphrey: Just following back up on the FDIC—
Edward Wehmer : By the way, if I may, the new guys are bringing in business but the banks themselves are actually generating business also. Being in business, lending, being in the shape we are where we’re out actively looking for business so its not just the new guys, its system wide and thirdly the niche businesses are going fine also, the life insurance business, dollars were up, we expect them to be up again the next quarter. Again we’re monitoring that one third, two thirds thing pretty closely but the life insurance business is doing very well. There are some other niche lending opportunities that we are looking at that could be very fruitful for us so again its starting up the engine for the asset driven growth strategy that we employed so successfully before. 
Mac Hodgson - Suntrust Robinson Humphrey: And then on the M&A side how large an institution would you look to take over in and FDIC assisted deal and then how do you feel like your infrastructure as a company set up to handle multiple transactions. 
Edward Wehmer : Second part first, I think our infrastructure is set up extremely well, I think better than most because of the 15 charters we just bought two banks and 13 of our banks didn’t effect it one bit. Two of our banks are working with the holding company staff on the integration of those and bringing them in so really we’re able to integrate these things without a lot of disruption to the system. We had staff on the holding company side with some really good folks that have come in and making the, tying the strings together to make the simulation and transition work. So it really does not stress our system much at all to acquire and bring these on board. Its actually exhilarating. We have 24 hours notice on this one and I couldn’t have been prouder of the way our staff handled it, jumped to the occasion, and were out in the field and really did a marvelous job so I am very confident in our ability to assimilate these deals and not put any stress on the system. As to the size of the deal we’re not going to limit ourselves. If things make sense we look at them and with the smaller deals if they give us footholds and they are strategic we’ll go ahead and look at them and do them but we’re not going to be stupid in our bids. We’re going to be very disciplined as we always have been and make sure that we get them on our terms and then if the cultures are right that we can grow them and make something of them once we get them. 
Mac Hodgson - Suntrust Robinson Humphrey: On the credit costs I think you mentioned that provision was a little bit higher than you would have liked or thought this quarter how is your outlook for credit look, I guess you probably expect provision to continue to come down or do you think it will lumpy as well as OREO costs going forward. 
Edward Wehmer : I think it will be lumpy but I certainly expect it to come down. As I said this isn’t over yet. We’ll deal with the issues as they come along. We still are dedicated to pushing this stuff out. Came down this quarter I would expect it to hopefully continue to come down at least by the end of the year to have most of this stuff behind us and we’ll see what happens though but we could have a W, all sorts of things could happen but we certainly would like that to happen. I kind of look back and say our strategy through this whole thing to take advantage of these dislocations and have these gains to cover these costs even though a lot of analysts take out the one side and leave the other side in like they’re going to be there forever. That was our strategy all along is to cover that and to build the core and to be able to move out of this very quickly. The good news is if we get our core earnings up we can absorb the, anything that credit has to throw at us, additional deals could bring additional bargain purchase gains, additional dislocated assets could do the same where we have these one-time sort of gains and the idea is to offset these one-time sort of cycle losses and we look for those all the time but I’m hoping that barring a W that we can continue to show good progress bringing the numbers down. We’re dedicated to doing it and if you ask our people in the managed asset division they’ll tell you that I am a bear when it comes to this stuff. So I’m all over it. I personally meet with them once a month or more and go over every deal we’re working on and how we’re getting out of it and what we’re doing. So its really top on my mind as to, is to clear this balance sheet out and at the same time kind of getting excited about getting back in the growing and building the franchise like we used to do. 
Operator: Your final question comes from the line of Peyton Green - Sterne Agee
Peyton Green - Sterne Agee: I was just wondering if you could comment maybe on how the financial condition of your customers looks. I guess everybody has had some time to adjust to the cycle but and certainly with lower carry rate on most of their loans but what are you seeing any signs that their balance sheets are getting better or their revenue generation is getting better or is it still pretty flat. 
Edward Wehmer : All depends on the industry. In the C&I those who have pulled through and survived are actually starting to kick it in. A lot of other guys run [rope a dope] like we were in different industries and you see things picking up, you see the mood picking up, you see everybody feeling a little bit better. Unless of course you’re in the real estate business in which, if you’re on the long end of the real estate business and have been for some time you’re still fighting it. There’s still a lot of money on the sidelines but there’s a lot of inventory that needs to be cleared. You’re getting close to a bottom and you’re starting to see bids actually start to come up a little bit on these but its spotty still. The money is still on the sidelines looking for a bottom. So all in all [inaudible] and I think that its such a psychological thing as people talk about the economy expanding and talk about better things, people feel better and they start doing more things. But the guys who have survived are coming out pretty strong and they’re doing well. The weak guys have fallen by the wayside and so we are seeing a better mood out there unless of course you’re long dirt and your tank is getting empty.
Peyton Green - Sterne Agee: And then in terms of the yield on the premium finance receivables what’s the difference or what are kind of the current market yields on the P&C stuff versus life.
David Dykstra : If you get in on the P&C side with late fees and everything else, you’re north of 6%. 
Edward Wehmer : The market is competitive, in the old days you were prime plus four on that business in terms of yields plus late fees. Funny thing the late fees have not grown, you would think they would pop up to that 2%, 2.25% that we see in distressed times. I think people are paying their insurance. They don’t want to lose it so those numbers have not come back to where they were a couple of years ago which is surprising because that’s economics, driven economically. The aggregate deals on that business has come down a little bit also. I think it’s a function of, the market has gotten competitive. We’ve had in the old days insurance companies or someone else owned our competitor and unfortunately now other banks own them. And just like banks always do they’re screwing the market up by trying to buy all the market share and drive the rates down. We’re holding our own, we’re doing fine, our volumes are very good. We certainly would love a hard market, average ticket size is still down in the low 20’s when normally its in the 30 or 35 range, or in the 30’s so some built in growth there someday when that market turns. On the life insurance side AIG was probably doing in the LIBOR plus this is a couple of years ago when they were big in the business before we acquired it they were doing—
David Dykstra : They were like LIBOR, one year LIBOR plus 190 is really where we bought their portfolio at. But that’s what we thought was below market, part of this accretion that we have was to bring it up to more market driven rates. 
Edward Wehmer : We’re now, we’re offering the product anywhere from the prime plus a half to prime plus 1.5 sort of range depending on the borrower and the situation so we have raised the pricing on that to more of a market price. 
David Dykstra : And generally an upfront fee too that gets amortized or accreted in over time so we’ll charge them that interest rate plus cost of fee up front. 
Peyton Green - Sterne Agee: And then just in terms of the landscape and doing FDIC assisted deals, do you think there’s, do you look at it more as the way to extend the footprint or are there opportunities to maybe build up some of your separately chartered smaller franchises and which is more important I guess.
Edward Wehmer : Well both really because when you do an FDIC deal you don’t get a charter so we’re going to have to hook it on to somebody. So we will be expanding our existing franchises but normally in new market areas. If you did a larger deal there might be who knows what’s coming down the pipe but there might be some overlap where you’d be able to close branches and the like because you cover it. But we like to do them from a strategic standpoint and getting into areas where we’re not and then build them out. That’s what we do best. If we don’t build them out that way and a big bank goes in and buys it or somebody else comes we’re probably going to get to that area eventually and we have to do it de novo. We’re really kind of excited about the aftermath of the FDIC deals because if this holds true to past cycles any number of exhausted tired individuals and banks are going to walk out of it and really want to link up with people who they can keep their job but they don’t, there are going to be beat up pretty bad. And that really is a very good opportunity for us to build and grow because I think as an acquirer you go into an FDIC deal and its all numbers. You go into a deal like this and as an acquirer our culture, our style, how we run the bank, is a lot different than the guys that come in and strip them down and commoditize them. So we’re kind of excited about that next phase in terms of expansion opportunities but we’re going to play this phase out while its here. 
Peyton Green - Sterne Agee: But the live bank deal, that would be more 2011 or is that sooner do you think. 
Edward Wehmer : Which deal?
Peyton Green - Sterne Agee: Just the potential for live banks, is that more 2011 or is that—
Edward Wehmer : We’re talking to them now. 
David Dykstra : There’s a lot to talk now, there are some fatigued banks that may be aren’t fatigued but more in, when you actually get in and look at them so you almost think you might as well wait until they go FDIC assisted. But we’re talking to them. If it’s a bank that you can get your hands around these guys may just want to ride your stock up. Now obviously we’re focused on the FDIC assisted ones right now because there were so many in the marketplace here recently but we will talk, we will listen, and to date there really haven’t been any fatigued ones that really were just fatigued. But I think 2011 it’ll be active but that doesn’t shut down 2010.
Peyton Green - Sterne Agee: This is going to be a hard one to answer but I’m going to ask it anyway, do you think the odds favor another AIG like purchase from a specialty lending perspective or an FDIC assisted situation. 
Edward Wehmer : I don’t think we’ll ever find a, well never say never, I think that was our one shot in a lifetime at that. 
Peyton Green - Sterne Agee: With the $1.2 billion in liquidity it just, typically these FDIC assisted deals bring their fair share of liquidity too, it doesn’t necessarily help you from that perspective. 
Edward Wehmer : Exactly, I would probably focus on smaller type of dislocated platform purchases but something that we can build on so and the concept of additional FDIC, you’re guess is as good as mine. We’ve never locked into a bid where we didn’t handicap ourselves at maybe 25% chance of winning it because we think that that market is going to be competitive going forward and has been competitive so do I think we’ll get another one? Yes I think we’ll get another one. Do I think we think will find other dislocated assets? Yes I think we’ll find them but not in the billion dollar range. 
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments. 